Operator: Good day, and thank you for standing by. Welcome to NanoXplore Third Quarter Fiscal 2023 Earnings Conference Call. [Operator Instructions]. Please be advised that today's conference is being recorded.  I would now like to hand the conference over to your speaker today, Martin Gagne, Director of Investor Relations. Please go ahead.
Martin Gagne: Good morning, everyone, and welcome to NanoXplore's fiscal 2023 third quarter conference call. Today, I'm here with Soroush Nazarpour, our President and CEO; and Pedro Azevedo, our CFO. We will start with our prepared remarks and then a Q&A. Please note that our discussion will include estimates and other forward-looking information, which our actual results may differ from in the future.  We invite you to review the cautionary language in yesterday's earnings release and in our MD&A regarding the various factors, assumptions, and risks that could cause our actual results to differ. With that, let me turn it over to Soroush.
Soroush Nazarpour: Good morning, everyone, and thank you for joining us today. I'm very proud of where we are as a company and the strong improvement we are delivering so far in fiscal 2023. We are having a great year and many thanks go out to incredible NanoXplore team for advancing our growth strategy and financial agenda.  Before I begin with my prepared remarks, I would like to welcome Joseph Peter, the retired CFO of Nissan Motors Corporation to our Board. Prior to working at Nissan, he has spent 25 years at General Motors in different executive functions, including CFO of the North American and International operations. Joseph with his extensive automotive industry experience brings very strong expertise and business acumen to NanoXplore. Joseph will help us access key stakeholders in the transportation industry and contribute to the success of NanoXplore battery materials and light-weighting composite initiatives as well as playing the key role in VoltaXplore gigafactory success. I'm very happy to have Joe on our Board, and his experience will be instrumental for our company as we increase our focus on electrification of transport and sustainability ecosystem. Okay. Let's start with federal and provincial budgets.  It's important to mention that we expect the federal and provincial budgets to have positive impact on NanoXplore and VoltaXplore. We are very happy with the budget, and I would like to praise both governments for their strong desire and conviction to help combat carbon emissions. The 30% refundable Investment Tax Credit, or ITC, at the federal level is an important element of our financing of both NanoXplore battery materials facility and VoltaXplore gigafactory. The ITC de-risks our projects and should help facilitate the completion of our CapEx financing.  Let's move to our third quarter results. We delivered a strong quarter on both revenue and adjusted EBITDA, driven by the strong deployment of new programs. Total revenues grew 11% to $31.6 million, and we had positive adjusted EBITDA for the second quarter in a row and the third in four quarters. Our gross margin as a percentage of revenue improved significantly and we are headed in the right direction. Pedro will discuss in more detail our financial later in the call. Moving to key developments that happened during the quarter let's begin with our Transportation segment. As we mentioned in our last call, one of our largest commercial OEMs approved the use of graphene for all current and potential future programs, and we are seeing this decision reflected in our performance and growth in our backlog.  We see this positive approval as a benefit to our graphene intake. Furthermore, we announced earlier in the quarter the extension of our commercial agreement with Martinrea to 10 years, which is a strong validation of the benefit that our GrapheneBlack can bring and the strong relationship we have with our partner. Case in point is this important award, Martinrea won at prestigious 2022 PACE Award for our graphene enhanced brake line. This is a testament to the strong performance and key benefits that our graphene brings. These include 25% weight savings while demonstrating superior strength, great abrasion, and chemical protection are longer lasting. In addition, our relationship is also expanding on new product offerings as both Martinrea and NanoXplore are working on additional graphene solutions that we expect to bring in the market in the next few months and years.  Switching to drilling fluid market; as we said in the past, this is a significant graphene powder content vertical, which should benefit our margins in the future. Recall that powder is our highest-margin business. In recent weeks, albeit still early in the process we received positive results from a very large global drilling fluid company where they saw enhanced lubricity among other improvements while increasing the graphene loading in their trials. This helps lower their coefficient of friction which leads to process efficiency, increasing drilling speed and lowering downtime. Based on these positive outcomes, this customer is moving forward with further testing and validation. In addition, as we said during our Q2 call, we are in commercial discussions with our specialized drilling fluid company and the conversations are very productive and advancing very well. We are hopeful it will yield positive results in the next 12 months or so, and we are confident we will build on this strong relationship and expand our industry footprint in the future. In insulation foam, our commercial dialogue is progressing very well, and we are in the final stretch of negotiation with this well-known global chemical company that we discussed in Q2 call. There, we are confident that we will win and expand within this organization.  Let's switch gears to discuss our five-year plan. NanoXplore is a big advocate of the energy transition and our battery material, light weighting and our graphene-enhanced lithium-ion battery manufacturing venture, VoltaXplore is strong evidence of that. Let's begin with our 12,000-tonne battery material facility. As a result of the government budget, we decided to include the future 4,000 metric tonne per year graphene facility with this anode material facility and increase the total capacity to 16,000 metric tonne per year in one facility.  This will help us to benefit nearly $50 million from investment tax credit is around 40% of total CapEx requirements. Even though we are awaiting to receive the final details of ITC we recognize that the program begins in 2024 and accordingly, we have decided to push our CapEx into calendar 2024. Moreover, we're actively working to secure customers for the anode material facility prior to the investment.  Moving to our light-weighting composite business, but more specifically our graphene SMC proprietary solution, our timeframe is still within our guidelines and which is commissioned the plant in late calendar 2024 and begin production in early '25 where there our detailed engineering work is advancing well. And following our due diligence work with our potential suppliers, we are at the stage where we will start issuing purchase orders in the next couple of months for long lead time equipment.  As we have said in the past, light-weighting will be key in energy transition and we are confident that our compound will be crucial as we can reduce part weight by up to 25% relative to other non-graphene SMC composite parts. The most important component of electric vehicle is the battery pack, but is also the heaviest. Therefore, reducing the weight is of utmost importance to improve driving distance, and we're confident that we have the product to solve this weight issue.  As an empty metallic battery enclosure can wait up to 160 kilograms and adding cells to the modules, it could represent up 30% of entire weight of the vehicle. We believe it's a very attractive market for NanoXplore due to a much larger graphene content, which can be up to 5 times more the larger market size and potential market penetration of composite materials. According to a December 2022 research and market report, the battery enclosure industry is a USD$4.1 billion market, growing to USD$11.7 billion by 2031. Finally, let's discuss VoltaXplore. We announced a $10 million purchase of margin real stake in VoltaXplore back in March, and we have now 100% of the company. The rationale behind the deal was to simplify the capital structure and have access to additional financing opportunities. We came to this decision because the joint venture has served its purpose and they were successful at building demonstration facility and testing ourselves. I would like to thank Martinrea for all their support they have provided us throughout this collaboration. Martinrea will continue to support NanoXplore and as a result of this transaction, Martinrea received 3.4 million shares of NanoXplore and now owns 38.5 million shares or close to 23% of NanoXplore. As I said earlier, VoltaXplore qualifies to receive the refundable investment tax credit that the federal government announced in March, and together with the provincial support, we anticipate nearly 50% of total CapEx of VoltaXplore gigafactory to be provided by the government. We are very happy with the extent of government support and even though it took longer than expected the incentive package is highly competitive with what's being offered in U.S. through Inflation Reduction Act.  In terms of capital expenditure for construction of gigafactory, the first block of capital will be spent by summer of 2024, and we are currently working to sort out the remaining equity and debt components. Once the financing is complete, we'll provide more color and data points to facilitate the financial modeling of VoltaXplore.  Moreover, we began the retooling process at our demonstration plant to move to 21700 cells format from 18650, which is the industry standard and will be dominant cells for the next several years. We should start producing these batteries in the second half of this calendar year. To conclude, we expect to start building the gigafactory in calendar 2024 and commissioned in calendar 2026. With that, I will pass the line to Pedro where he will discuss the financials and our outlook.
Pedro Azevedo: Good morning to everyone. I will start with a review of our Q3 results, provide an update on financing for our five-year plan and close my remarks with our outlook for fiscal year 2023. At the end of Q3, we acquired Martinrea's 50% stake in VoltaXplore. Since this has been done at the end of the quarter, the P&L results of VoltaXplore were accounted as they have been in the past as a loss from a joint venture in NanoXplore's consolidated P&L.  However, the NanoXplore balance sheet at March 31 now consolidates the balance sheet of VoltaXplore, explaining the increase in plant, property, and equipment, intangible assets, and share capital. Going forward, and until NanoXplore no longer has a controlling interest in VoltaXplore, the financial performance of VoltaXplore will be part of NanoXplore's consolidated results, but we intend to isolate its impact in our disclosures. Total revenues in the quarter grew 11% to $31.6 million versus Q3 of last year. The increase in revenue was driven by a positive product mix, including graphene-enhanced products, higher volume, a positive FX impact, and price increases. These items were partially offset by lower tooling revenues. If we exclude our tooling revenues, which can fluctuate from quarter-to-quarter, our total revenue grew 15%.  Our Q3 gross margin, excluding depreciation and amortization, was $5.7 million, an increase of $3 million compared to last year. As a percentage of revenue gross margins improved by 860 basis points to 18.3% and was driven by improved productivity, higher margin product mix, and better cost control. Over the last six months, we have talked about the benefits of graphene in our Composites business, namely our sheet molded compound, and SMC parts. During Q3, one of our large OEM customers has transitioned exclusively to graphene-enhanced SMC parts. Both our manufacturing operations and our customers are seeing visible performance improvements in manufacturing, leading to higher margins for both.  Graphene-enhanced SMC parts have fewer imperfections after part-forming, leading to lower material waste, less labor usage resulting from reduced part rework and the surface finish of the parts are of higher quality, which leads to better paintability and a better final product for end customers. Over the last 24 months, our margins have steadily increased. However, we are entering tougher year-over-year comparisons. While we expect year-over-year comparisons to show continued improved margins into the foreseeable future with the benefit of increasing graphene contribution, the improvements will be at a more modest pace and financial modeling should take that into account. Our adjusted EBITDA was positive $452,000 for the quarter, which is a gain of $2.8 million versus last year and a record level for NanoXplore. As Soroush mentioned, this is our second quarter in a row and our third in the last four quarters of positive adjusted EBITDA.  We are pleased with the progress made to date and see these as early results on our path to profitability. The improvement in our Q3 adjusted EBITDA was largely due to higher gross margins due to the reasons I explained and only offset by a small increase in SG&A, which we are closely managing. As, I mentioned during our last quarter's call, we monitor our progress by using a trailing 12-month performance metric and can see a decisive positive trend. Since fiscal Q3 of last year, we significantly improved our trailing 12-month adjusted EBITDA by $11 million, explained by our revenue growth and improving gross margin. With regards to our balance sheet, we ended the quarter with $37.4 million in cash and cash equivalents and $10.4 million of available space on our line of credit for a total liquidity of $47.8 million. In addition, for the core second quarter in a row, we generated positive cash flow from operations of $1.6 million, which was driven by positive adjusted EBITDA and positive working capital variance. Over the last six months, we have focused our efforts on optimizing our accounts receivable and inventory balances, which we have led to lower working capital levels despite higher sales.  Our focus on working capital management contributed to our stable cash balance, which only decreased in the quarter by $1.2 million coming from CapEx spending, an advance to VoltaXplore, and repayments on long-term debt and leases. Our total bank debt now stands at $9.8 million and is comprised of $8.3 million of long-term and $1.5 million of short-term debt.  Moving on to the financing of our five-year strategic plan; as previously stated, the federal and Quebec budgets were favorable to NanoXplore. Speaking solely about the benefits to the five-year strategic plan initiatives, which are separate from the VoltaXplore initiative, we expect this to result in approximately $50 million in government support in the form of refundable investment tax credits. Since my last update to you and having had preliminary discussions with our current lenders, we have been working on a more detailed financial model of our strategic plan to use in a more in-depth discussion with lenders. Our goal is to finalize our financing package in the coming months. The finalize in the end of calendar 2023. Switching to our light-weighting initiatives, so this is the SMC initiatives, work is advancing well and following a detailed review of our equipment needs and reengineering work to be performed, we estimate the investment will be lower than originally expected and in the range of $30 million to $35 million, down from the initial $50 million expected.  This review work also confirmed our ability to stagger the initiative over 36 months' timeline instead of 18 months. This will not only be a easier initiative to execute internally, but will also reduce the near-term financial needs. As a consequence of our work advancing efficiently, we plan to send the first purchase orders to suppliers of equipment with the longest lead times in the next few months. With regards to progress on battery materials initiatives, the refundable investment tax credit program announced are only available for expenditures after January 1, 2024. As such, our immediate work is to focus on obtaining offtake agreements with potential customers. We know VoltaXplore will be a customer when financing is finalized for -- to proceed with the construction of the gigafactory, but it also will be beneficial to secure other customers for our battery materials as this provides tangible financial support to our initiative and facilitate financing the investment. In the meantime, we continue to review the investment needs for the battery materials initiative to be ready when the time comes.  As you may be able to see, our approach to our five-year plan expenditures will be done in a more moderate way and lessen the financial risk. We will provide another update during our next quarterly call. Finally, considering our strong Q3 results and the visibility we have from our customers and partners, we are raising our total revenue guidance for fiscal year 2023 to a level between $120 million and $125 million from the $115 million to $120 million previously guided. With that, I will pass it back to Martin.
Martin Gagne: Operator, we can now open the line for questions.
Operator: [Operator Instructions]. And our first question comes from the line of Ahmad Shaath with Beacon Securities. Your line is open.
Ahmad Shaath: I guess maybe Soroush the first question on -- help us understand the path on the ramp-up on the current platforms. We're positively pleased with the continued revision -- upward revision to the guidance. Maybe help us understand what keeps transpiring in terms of order flow or relationship with the current customers that -- on the current contracts? Just to help us understand how should we think about modeling the top line?
Soroush Nazarpour: Sure. So, while we're seeing that transportation segment is doing slightly better than expected -- throughout the segment so directly, it impacts our graphene-enhanced composite parts supply, and that brought in a better-than-expected performance here as well some of the segments that we are present, but in a smaller volume, they are also seeing a bit better performance than anticipated. So all-in-all, we're seeing improvement in top-line slightly, but a lot more improvement in the gross margin as a result of better products and higher quality and less defects, that's what graphene does to the SMC composite parts.
Ahmad Shaath: That's great color. I appreciate it. And the second one for me, you guys indicated that you're deep into the detailed engineering -- any cost savings transpired from that given the lineup, maybe recent reduction in inflation overall in the environment, and potential savings on the CapEx plan.
Pedro Azevedo: If I may, actually, the reduction that we've seen in the analysis that we've been doing is actually because of the impact on inflation that we're expecting some of those materials are actually not going to be as expensive as we once bought. So, I don't know if we can say that they've come down in price and the inflation is actually reduced. It just -- I think we may have actually overestimated the impact of the inflation when we did our preliminary analysis.
Ahmad Shaath: That's great. So fair to say there's potential savings on the CapEx, which we look forward to. That's great. I'll jump back in the queue.
Operator: One moment for our next question, please. And our next question comes from the line of Eli Rodney with National Bank Financial. Your line is now open.
Eli Rodney: Good morning, everyone. Just filling in for Rupert here. So, if I could just start on the battery plant. So, from the disclosures funding to be finalized in the next few months, construction, potentially in early 2024. Just wondering if there's any steps you guys could give some color to that are or that you view as sort of a key checkpoint that would increase your certainty on meeting the timelines you've given?
Soroush Nazarpour: Sure. So, the whole financing is around $500 million for that facility and which as we said, we have visibility for about half of that support from the provincial and federal government. So, where we stand today is we need to have comfort on the remaining portion of the capital, the equity portion and debt portion by outside investors. The capital allocation plan would be throughout the year. The first batch of capital needs to be invested by about mid-2024, second or third quarter, and also the construction -- the physical construction really starts toward the end of next year. So, what we're trying to do right now is to continue our engineering work, further derisk our analysis in terms of OpEx and CapEx. And we'll get to much better visibility by the middle of next year before the invest in the big block of capital. The project is the way we see it. So, we are very committed, and we're going forward with that. The capital investment will be staggered through about three years.  So, we're already starting the first portion of that, and hopefully, we'll have it all done by 2026. So, in terms of the steps needs to be taken is very similar to any project, any infrastructure project out there. We need to have -- we need to complete our engineering work, and we also need to build the building, which all of this will happen -- will start by end of 2024.
Eli Rodney: Okay. And just on the financing piece of that, specifically, expected to be closed in the next few months or finalized. Any sort of roadblocks there or anything potentially getting in the way of getting that done in the next few months?
Soroush Nazarpour: I don't see that there is any roadblock at this stage. I think we were waiting for quite some time for the federal government, and that's already sorted out. What we would need is to go through the next 12 months to do the engineering. Of course, we would need a much, much smaller amount of capital to do that in VoltaXplore. We would not look for a one-shot full financing of the project. We'll go through multiple steps and finance it as we go.  So, at this point, we don't see any significant road block in the process. We just have to go through every step, reach the milestones in VoltaXplore. And the moment that we meet the milestone, the first batch of capital will be invested by the investors on it.
Eli Rodney: Okay, great. That's helpful. And one more on -- if I could just go back to sort of the impact of inflation and margins. You've done a great job managing any cost headwinds you might have seen over the past year of this inflationary environment. And just wondering if you see any room for something like price increases from here? And then a follow-up to that, with the higher-margin product mix and cost controls, you've outlined in your disclosures. Should we be expecting adjusted EBITDA to stay positive? Are we sort of par for the course here with these positive prints?
Pedro Azevedo: So, when it comes to the first part of your question, the price increases have already taken place, and that's an important part of what we're seeing year-over-year. The inflationary pressures, we can say that they're somewhat stable right now. So right now, the benefits that we're seeing on the revenue is in part because of the price increases and they're benefiting on the EBITDA as well because we've tied better the revenue, the selling price with the material cost pressures that we've seen. So, I would say that for this year into next year, I wouldn't expect any more selling price increases unless again, inflationary pressures continue to go up. But right now, they seem to be stable. Now in terms of the EBITDA and the contribution, we do expect Q4 to be positive again. We're still not sure whether it will be on the lower end or on the upper end of zero to $1 million, but we're confident that it will be positive again in Q4. We do see some strong revenue numbers for Q4, at least in line with Q3 or higher than Q3. So that should also contribute as the volume increases and it flows through to the bottom line.
Operator: One moment for our next question, please. Our next question comes from the line of MacMurray Whale with Cormark Securities. Your line is open.
MacMurray Whale: Thank you, so much guys. On the ITC, can you take us through the process to apply to that and securing that? Is it -- do you have insight into how that takes place and sort of the timing and length of that process?
Soroush Nazarpour: Well, we have to still wait for the footprint on that program. What we know is this program already exists with financing federal government, just the contribution limit is different now. Our expectation is that the finance will follow the typical investment tax credit program that they have today, and they just expand the contribution lift. Having said that, we have to wait for the ITC to go through and to be approved and [indiscernible].
MacMurray Whale: Okay. And so just remind me, is it -- do you basically get that as a lump sum upfront or do you get it as -- do you get it back after the spend, so to speak, or once you're in production?
Soroush Nazarpour: Well, the current program, you spend the money and then you get it back a couple of quarters later. So, this is the way is the program, but the new investment tax credit could be different. So, we have to just wait to see how is the payment. I would not expect to get it before investment.
MacMurray Whale: Okay. I see. And just a quick question on the acquisition of XG last August. Just wondering do you have anything to share with us about how smooth that technology, like working that technology in with your existing technology? Like is that going as you expected it to go. And I'm just sort of curious about any insight into that.
Soroush Nazarpour: Yeah. It has been a phenomenal acquisition. I think if not the best acquisition we have done, for sure, one of the best ones we have done was XG. So that technology -- well, the first intellectual property behind the silicon additives for the anode material. That was very important, and it already served us.  Looking into some of the knowledge and know-how that came from the company that has been developed throughout the year that was also complementary to some of our ongoing development in the graphene in production so it will have a positive impact and will be released in the future of how we can improve further our graphene production and can bring further cost reduction in the graphene production side. I think all-in-all it has been a very successful acquisition. And I think we paid a good price for it, too.
Operator: One moment for our next question, please. And our next question comes from the line of Fred Gatali with Raymond James. Your line is open.
Fred Gatali: Good morning. Maybe just to start off, if you could maybe provide us an update with the [indiscernible] concrete opportunity and how it's evolving?
Soroush Nazarpour: Well, we are going to have a hard time explaining the relationship with each customer as it goes within the -- some of the NDAs and ongoing commercial confidentiality agreements. But I would try to address more the Concrete segment here at this point. So, we are seeing quite a lot of improvement in some of the testing that we have done. Have it in mind that we have already a concrete development lab in-house. So, we are also in parallel to our concrete partners we're developing concrete solutions in-house. There has been quite a lot of work happening on the consistency of these type of solutions. One of the challenges that we see, not just us in any graphene concrete application is the consistency of the each batch of production. So, we're trying to improve that and to bring it closer to the commercial acceptability standards, especially ASTM standards also ongoing by one of our partners. We think we'll see uptick in that market a little bit later in 2024 or early 2025. Though the key for us is we're targeting to get into the high-performance concrete section first and then followed by more of a commodity-grade concrete late.
Fred Gatali: Okay. And just going back to the VoltaXplore transaction, just how -- could you maybe give us color how you expect that to sort of affect your balance sheet going forward and how that flows?
Soroush Nazarpour: Partnership on VoltaXplore. Can you elaborate on the question, please?
Fred Gatali: Yes. On the VoltaXplore exactly ex-Martinrea.
Soroush Nazarpour: Yes. So yes, so if I understood correctly your question, so we have acquired the existing -- the remaining portion of Martinrea and VoltaXplore, the 50% to simplify the capital structure for further financing in the VoltaXplore. Now going forward, looking at the future partnership if you're asking, look, we are focused on commercial partnership, and we're focused on partnership with the peers in the battery production or battery material production to help us in getting gigafactory up and running and producing batteries. But that's the extent of partnership I see at this point.
Pedro Azevedo: If I can answer your question [indiscernible] for the balance sheet so since its consolidated now since we own a 100%, any acquisitions of materials, equipment and so on will impact our balance sheet. Right now, for the next three months, we're not seeing a lot of investments that could hit the balance sheet. But the performance of the company and running the expenses, the OpEx will flow to the consolidated P&L of NanoXplore?
Operator: [Operator Instructions] Your next question comes from the line of Ben Jekic with PI Financial. Your line is now open.
Ben Jekic: Just a couple of questions, and I'm sorry if some of them are repetitious because I'm having technology issues here. Just number one on VoltaXplore. So, you own now 100%, is that like as you progress towards building this facility, are you planning to keep 100% or how does that -- how is that going to evolve?
Soroush Nazarpour: No, of course, the equity position of NanoXplore in Volta will come down following the equity portion of the financing that will happen in VoltaXplore. So, we are hoping to see something in the range of 40% to 45% of Volta at the end of the full financing of active.
Ben Jekic: Okay. Got it. And then on the mention of the $50 million in refundable tax credits, is that -- that's referring to just your five projects, but not VoltaXplore or does it touch both sides?
Soroush Nazarpour: Yes. So, there are two parts that investment tax credit will support. One is on the battery materials facility of NanoXplore, which we just said in the call that it will be 12,000 plus 4,000 altogether, going to be 16,000 tonnes of material in one facility. That would be about $50 million of investment tax credits from both levels of government to support the CapEx financing of that project. And then we have ITC support on VoltaXplore, which along with the provincial government potentially covering up to 50% of -- or slightly over 50% of the total CapEx of VoltaXplore. So this program is supporting in NanoXplore and also in VoltaXplore.
Ben Jekic: Got you. Okay. No, it's clear. And finally, just on the light weighting SMC, you mentioned that your initial estimate for the build-out was $50 million, which is now $30 million to $35 million. And how is that -- I think you were mentioning that you've overestimated the inflation? And is it -- can you elaborate on that? I mean, that's like a 20%, 25% drop.
Pedro Azevedo: So, -- when we originally announced our strategic plan, we had a high-level analysis of what we wanted to achieve through this initiative. And we kind of looked at the cost of presses and the cost of engineering, the cost of building out the facility with the infrastructure that's required. When we did that, we just assumed that the inflationary cost and pressures that we were seeing at the time, which is maybe summer of last year were such that we actually thought that was going to be more expensive. When in the last six months, we've been doing the actual calling with -- according with the suppliers, doing analysis of what will be actually required and the actual detailed work, the engineering -- we actually started realizing that a lot of those costs were actually overestimated about a year ago, exactly because we're seeing all this inflationary pressure. The other thing that I didn't mention earlier in the call, but I was actually thinking about it afterwards, I'm glad that you asked the question that because we're buying several presses, the economies of scale that we're actually able to get by doing those purchases and the savings that we can get not only in the equipment but also the installation costs, we are actually seeing that those economies of scale are actually bigger than we first realized. So, these are all things that have lowered from $50 million to $30 million to $35 million, the overall cost of that initiative, the SMC initiative.
Ben Jekic: Okay, fantastic. Okay, thank you.
Operator: And I'm currently showing no further questions in the queue at this time. I'd like to turn the conference back over to Martin Gagne for closing remarks.
Martin Gagne: I would like to thank everyone for attending this call, and we wish everyone a great day. Thank you.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect. Everyone, have a wonderful day.